Operator: Good day, ladies and gentlemen, and welcome to the Q1 2018 Smart Sand Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions]. As a reminder this conference is being recorded. I would now like to turn the conference over to Phil Cerniglia, Investor Relations Manager. Please go ahead.
Phil Cerniglia: Good day, ladies and gentlemen, and welcome to the Q1 2018 Smart Sand Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions]. As a reminder this conference is being recorded. I would now like to turn the conference over to Phil Cerniglia, Investor Relations Manager. Please go ahead. Phil Cerniglia Good morning, and thank you for joining us for Smart Sand's first quarter 2018 earnings call. On the call today, we have Chuck Young, Founder and Chief Executive Officer; Lee Beckelman, Chief Financial Officer; and John Young, Chief Operating Officer. Before we begin, I would like to remind all participants that our comments made today will include forward-looking statements, which are subject to certain risks and uncertainties that could cause actual results or events to materially differ from those anticipated. For a complete discussion of such risks and uncertainties, please refer to the company's press release and our documents on file with the SEC. Smart Sand disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of the information, future events or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast today, May 10, 2018. Additionally, we may refer to the non-GAAP financial measures of adjusted EBITDA and production costs during this call. These measures, when used in combination with GAAP results, provide us and our investors with useful information to better understand our business. Please refer to our most recent press release or our public filings for a full reconciliation of adjusted EBITDA to net income and production costs to cost of goods sold. Finally, during today's question-and-answer session, we ask you to please limit your questions to one plus a follow-up to ensure that we have enough time to answer so many questions as possible. I would now like to turn the call over to our CEO, Chuck Young.
Charles Young: Thanks Phil. I'm pleased to report that Smart Sand has posted another positive quarter and we're off to a good start for the year. Here's some highlights of the quarter. We had our highest quarterly sales volume ever, pricing trends continue to be positive, our average selling price increases by 16% compared to last quarter, demand was up in fact it exceeded supply, and we further expanded our logistics footprint. Here some headlines. A new terminal up and running in North Dakota. A deal to buy an innovative frac sand storage company, continuing strong product demand, if we can make it, we can sell it, and Smart Sand where we're adding new sales capacity in the second quarter. Is Smart Sand position to take advantage of this growing market? Absolutely. We have some big assets including these. A solid portfolio of long term take or pay contracts, a low cost operating structure, strategic investments in logistics infrastructure, a strong balance sheet to support our long term growth initiatives and a dedicated workforce that consistently produces results. We're gearing up to meet the continually increasing demand especially for Northern White. Our expanding capacity should be fully operational in the second quarter. We're moving quickly toward our long term goal becoming a fully integrated mine to the wellhead supplier. Part of our plan is that more direct exposure and sales opportunities in the operating basins. So we're primarily pursuing investments in three growth areas, transloads in the operating basins, last mile solutions for sand storage at the well site, and development of mine locations outside of Oakdale. Here some elements of that strategy. In March, we acquired the rights to operate a unit train capable transloading terminal in Van Hook, North Dakota. It will serve the Bakken formation. We geared up quickly, it became operational in April. This transaction included a long term agreement with the Canadian Pacific Railway, CP will service the Van Hook terminal directly, as well as other key oil and gas exploration and production basins of North America. With this new terminal, we can expand our customer base. That will be able to offer more efficient delivery options to customers in the Williston basin. We just entered into a definitive agreement to acquire Quickthree Solutions. Quickthree Solutions is the manufacturer of portable vertical frac sand storage solutions at the wellsite. This deal should close by the end of May. I'll give more detail on it later in my comments, but let me say upfront, we're excited about having Quickthree as part of the portfolio stand products and logistics services we offer our customers. As announced previously, we signed 20 year leases on two locations in the Permian basin. These long term leases give us a very economical access to desirable acreage. The upfront cost was low less than $5 million and the minimum royalties are also low. These leases position us to provide sand directly to customers in the Permian in the future. We are already in the initial design and permitting phase to a potential facility at one of these locations. To the low cost of entry, time is on our side. We can carefully monitor market demand before committing to fully invest in a mine. Now, let's talk about our progress in Oakdale. Our top priority here is to get the new expanded capacity fully operational. The construction of the new drying facility is basically complete and we're already producing sand from the new dryers. The full 5.5 million tons of annual nameplate capacity should be fully operational in the second quarter. I'm pleased with our progress in Oakdale. Things are also moving along smartly on other growth initiatives. Let's start with Van Hook. Trucks loaded with sand start rolling out of that terminal in April. We've signed a long term agreement with a large E&P operator as the anchor tenant there and will soon be delivering sand to other customers out of Van Hook. Why should we invest in translators in the operating base? There are three major long term benefits. It's a chance to attract new contracted customers. Our own terminals will be able to market directly to companies wanting to source their sand needs locally. While more opportunity for spot sales, we can forward deployed sand, so we can meet unanticipated customer needs fast and we can capture incremental margin on the sale of our sand farther down the supply chain. With our own invasion terminal capacity, we can directly manage the cost of rail and terminal operations. And we can probably sell our sand at an invasive price. We keep looking acquiring or developing transload opportunities in other basins, such as the Marcellus and the Permian, will probably add at least one more terminal location this year. We're all analyzing what sand costumers want. We find that many [indiscernible] [0:00:35]want a company that not only provide high quality sand, but can efficiently and cost effectively deliver that sand all the way into the blender at the well site. With that in mind, we've entered into an agreement to buy an outstanding Canadian company Quickthree Solutions. We expect to close this transaction by the end of the month. Quickthree has develop, patented and deployed a breakthrough sand stored system at the wellhead. The company's unique and innovative technology addresses the shortcomings of other well sized storage solutions now on the market, will integrate Quickthree into our plan to provide a total service solution to deliver sand to the wellhead of our customers. Looking back, it was a busy quarter but a good one and a good start to the year. Looking ahead, I continue to see positive trends for our industry. They include increasing demand for frac sand and positive momentum in pricing. Smart Sand is well positioned to take advantage of these opportunities. We have the management and operations team to deliver long term value for our customers, our employees and our shareholders. The industry is growing and Smart Sand is poised to grow with it. Now I'll turn up the call over to our CFO, Lee Beckelman for a closer look at Smart Sand's first quarter results.
Lee Beckelman: Thanks Chuck. As Chuck highlighted, we had record volumes in the first quarter and we continue to progress on several of our stated initiatives to expand our logistics capabilities. I will be going over the first quarter 2018 financial results and my comments primarily will be focused on comparing to the fourth quarter 2017 results. Starting with sales volumes. We sold approximately 723,000 in the first quarter, a 2% increase compared to the fourth quarter 2017. Our spot sales in the first quarter of 2018 were approximately 23% of our total sales volume versus approximate 26% in the fourth quarter of last year. In the first quarter, approximately 81% of our self were shipped via unit train compared to approximately 68% in the fourth quarter of 2017. In regards to revenues, total revenues for the first quarter were $42.6 million, a slight decrease over fourth quarter revenues $43 million. Sand sales revenues increased to $28.9 million this quarter compared to $24.4 million last quarter, due primarily to higher average sales prices. Average sales price per ton in the first quarter increased 16% to $39.98 per time versus $34.49 per ton last quarter. The increase an average selling price sequentially was primarily due to higher contracted sales prices which increased partially due to pricing adjustments in our contracted prices for changes in the price of oil and partially due to one contract with invasion pricing, which ramped up sales volumes in the core. Transportation revenue which includes freight and rail car rental was $13.7 million in the quarter compared to $18.7 last quarter. The reduction in transportation revenue in the quarter was primarily due to the mix of sales with less shipments for customers we freight with freight pass-through. Our cost to sales for the quarter were $344.4 million compared to $32.9 million last quarter. As we highlighted on our last earnings call, we expected higher cost of sales in the first quarter, due primarily to higher production cost. As discussed in the past, we had higher cost during the winter months, as we reduced our weapon operations due to the weather conditions which leads to less cost being absorbed in capitalized into inventory during these periods and leads to higher overall reported expenses during these course. Additionally, we had higher labor expenses we added a plan personnel during the quarter and preparation for the start-up of our expanded capacity in the second quarter. At higher utility expenses from colder weather which leads to higher fuel usage and higher contract labor that we have been utilizing to provide interim operations support. During the quarter, we had some overlap in staffing as we needed to utilize contract labor while we were training our new hires to be ready to take on this work directly. Our production cost for ton in the quarter increased to $20.95 per ton compared to $14.79 per ton last quarter. The $20.95 per ton was higher than the range we have guided in our last earnings call of $18 to $20 twenty per ton, primarily due to higher contract labor expense than anticipated during the quarter. As our new staffing for the expansion is getting fully trained, we have been able to reduce our contract labor needs and we expect this expenses to be reduced in the second quarter and going for in 2018. With our wet plant operations now back on line and our expanded capacity ramping up in the second quarter, this increased activity should lead to higher utilization and sales volume levels, so we still believe we can reach our guidance for the full year 2018 of average production cost in the $12 dollars to $14 per ton range. Gross profit was $7.2 million in the quarter, a 29% decrease from fourth quarter gross profit, and due primarily to higher production cost. Operating expense in the quarter was $5.9 million, a $400,000 increase over the fourth quarter, due primarily to higher royalty expenses. For the quarter, we had tax expense of $232,000 compared to a benefit of $6.2 million in the fourth quarter which was primarily due to an $8.5 million recognized in the fourth quarter 2017, due to the U.S. tax law changes that went into effect in the quarter. This benefit last quarter was primarily due to the reduction in the U.S. federal corporate tax rate to 21% from 35% previously which led to a re-measurement of our differed tax assets and liabilities. We anticipate our effective tax rate to be in the 20% range going forward currently We had a net income of approximately $975,000 and adjusted EBITDA of %5.9 this quarter compared to net income of $10.9 million and adjusted EBITDA at $8.9 million last quarter. Net income was lower primarily due to higher production costs and the positive impact of the tax benefit booked in the fourth quarter. Adjusted EBITDA decreased sequentially, due primarily to the higher production cost we had in the quarter. In the first quarter, we spent approximately $46.9 million in capital expenditures. Most of the capital in quarter was related to the expansion of our facilities. Additionally, we spent $15.5 million in the quarter to acquire the terminal in Van Hook, North Dakota. Our capital budget for 2018 is currently still expected to be in the $85 million to $95 million range excluding any additional acquisitions. As Chuck discussed, we are starting to we're starting up our expanded capacity as we speak. As with any startup of new facilities, it will take some time to get this capacity fully operational and to start getting the full benefit of the expanded production levels. So while we do anticipate increased sales volumes in the second quarter, we do not expect to start getting the full benefit of our expansion until the third quarter, assuming market conditions and the demand for fracking continue remain at current levels or better. For the second quarter, we currently expect cell volumes to be in the 800,000 to 850,000 range. As highlighted earlier, we expect our production cost to start a trend lower beginning in the second quarter and we currently anticipate adjusted EBITDA to be in the $10 million to $18 million range for the second quarter 2018. Four the full year 2018, our or sales volume and adjusted EBITDA expectations have not changed. Assuming market condition stay consistent with current activity throughout 2018, we should have sales volumes for 2018 in the 3.5 million to 4 million ton range and adjusted EBITDA for the year in the 70 million to 80 million range. As announced yesterday and discussed by Chuck, we have signed a definitive agreement to acquire the assets of Quickthree Solutions which we plan to develop to be our in-house last miles storage solution for our customer base. We expect the closest transaction by the end of the month. We're primary acquiring the technology for this business and will be formulating our business strategy for the deployment of Quickthree Storage systems once we close this acquisition. Therefore, it's too early to for us to give any guidance is to how this acquisition will impact our operations over the remainder of 2018. We will provide more detail on Quickthree our second quarter earnings call. The transaction provides for an aggregate purchase price of up to $42.75 million consisting of $30 million paywall at closing and up to $12.75 million in potential earn-out payment, as systems are built and made available for sale or lease over a three year period. As of March 31, 2018, we had approximately $2 million of cash on our balance sheet compared to $35 million at year-end 2017. This reduction in cash was utilized to pay for the capital expenditures, primarily related to our expansion of Oakdale. Currently, we have approximately $6.5 million of cash. In April, we expanded our credit facility to $60 million. We currently have $15 million drawn on this facility with the remaining $45 million available to support our liquidity needs. We do down on the facility in the first quarter to fund the purchase of the Van Hook terminal. We do currently expect facility along available cash to fund the Quickthree acquisition in the second quarter. This concludes our prepared comments and we'll now open up the call for questions.
Operator: [Operator Instructions] And our first question comes from Martin Malloy of Johnson Rice. Your line is now open.
Martin Malloy: Good morning.
Charles Young: Good morning, Martin.
Martin Malloy: Could you remind us how the pricing escalators work as an average on average per ton basis across your tons that you are producing if the average price is $65 and net $75 for crude?
Charles Young: It's not, every little contracts a little different but actually above $60 a barrel for the first quarter we will be beginning a pricing adjustment on our current contracted volumes and on a weighted average basis of about $6 a ton. So get an incremental $6 per ton on our contracted volumes in the second quarter for all prices being above $60. The next row covered in would be about $70 to $75 and that again will be at roughly another $5 ton, per ton adjustment on the current contracted volumes.
Martin Malloy: Okay. Great. And then, on that - I appreciate you give more information on next call the Quickthree acquisition, but just trying to get a better feel for the strategy here. Are these just for this unit is just going to be utilized by Smart Sand for their customers and has this unit been deployed already? Already in what basin?
Charles Young: So, Quickthree has been operational for some time now and they have units pretty much across most of the basins, heavy concentration in Canada and the Marcellus. And our strategy with that is that we first and foremost would like to put our sands through that but we will be open to utilize in this technology. I think the thing that to be true benefit of this is their ability to unload gravity dump trucks quickly and as trucking gets more complicated, we feel that this technology really is as a step up above what's out there today in the marketplace. So we're going to deploy that and we think that our customers don't only buy sand from us they buy sand from other people, so if they want that to help bring down their trucking costs, we have no problem deploying it and not having Smart Sand and go through it.
Martin Malloy: Okay. Thank you.
Operator: Thank you. And our next question comes from John Watson of Simmons. Your line is now open.
John Watson: Hey, guys. Good morning.
Charles Young: Good morning, John.
John Watson: A few quick ones on Quickthree and if you can have an answer feel free to tell me the move on, but it was the legacy business model for Quickthree to sell these systems or to rent them and could you maybe provide some color on the number of systems sold or rented currently?
Charles Young: Primarily, Quickthree was selling the systems and I think in totals, they roughly have a number of about 90 silos out in place. Now what's happened in the marketplace since we've gone from people doing 1,500 to 1,600 tons of wealth to 2,000 tons a day, the amount of silos you need per well head has gone up. But our strategy with this is going to be to lease the systems. We're also looking - we're looking to partner with - we think that again nobody likes trucking or want to invest in trucking, but we feel those guys are critical in the marketplace and what we're doing is we're going to partner up with trucking companies and allow them to sharing some of the benefit of doing the hard work which every well head needs trucking, we hope not too much distance on trucking, it's kind of our strategy is a little different. But we think that's going be a great way for us; one, include the truckers, and two, some of the share profit in this business but also to be able to get the sand to the well head.
John Watson: Okay. That's super helpful. And 90 silos is that a one silo per frac or per well?
Charles Young: So, roughly, we - in our model it's going to be 4 to 5 silos per well head.
John Watson: Okay.
Charles Young: That's a good number.
John Watson: Okay. Perfect. And do you know the split U.S. versus Canada for 90 silos historically?
Charles Young: It's probably…
Lee Beckelman: Yes, it's north of 89% Canada
Charles Young: Okay.
John Watson: Okay. Okay, perfect. That's super helpful. And one more from me if I can, Smart Sand historically hasn't sold the ton of sand into Canada, is that started to change with this acquisition?
William John Young: So, this is John here. What we've actually - we have sold sand into Canada, that's just not a primary focus of our business at the moment. There are some indications that the players are coming a bit further south in Canada which opens up the market to the origin on making Pacific Rail, they have good destinations into there. I think Canada will continue to be an opportunity that we evaluate. Keep in mind we also have our asset on Canadian National Rail which is ready to develop at any time should be Canadian market heat up to the point where we want to get involved in the heavy state. Right now, all my sand does really spoken for in the lower 48 though, so we're pretty focused on that and producing for that market.
John Watson: Sure. Thanks so much, guys. I appreciate the color.
Charles Young: Thanks, John.
Operator: Thank you. [Operator Instructions] And our next question comes from Akil Marsh of Janney. Your line is now open.
Akil Marsh: Hi, thanks for taking question. Another one on Quickthree and understand if you can answer this but is Quickthree at the moment generating EBITDA and/or free cash?
Lee Beckelman: Yeah, we're not going to get into numbers right now. As we said before, I think we're still evaluating how it's going to fit in our systems and into our business model. So we're not really going to give any real data on what they're generating today. Also the business model is really going to be changing. So in terms of how they were selling and promoting Quickthree is we're to be a little different than what we're planning to do over the next 12 to 24 months with the business.
Akil Marsh: Okay. And regards to the leases in West Texas, it sounds like there's a little bit more activity there. So is the way to think about West Texas is that you're definitively moving forward or should we still kind of view it as an option to move forward if you do want to in the future?
Lee Beckelman: Yeah, the strategy that stand today with West Texas is they have our project start already and that's what we're working towards right now in the permitting and the design phase.
Charles Young: And additionally, our West Texas operation will come with a real component. We believe sand mines belong on rail and we think some of the challenges that are going to take place down in that area, Texas as it relates to trucks are going to require to get the terms as short as possible in trucking.
Lee Beckelman: And you get to remember we really have three options to add additional capacity. We have Hixton which is we can develop, we have additional ability to expand Oakdale and we now have the West Texas leases. So we're going to basically - when we look at capacity, we're going to look where it makes the most sense to get the best value for that. And so we have a lot of options now we can look at and consider as relates to where our next and our capacity should be add and to support our business.
Akil Marsh: Great. Thanks taking my questions.
Operator: Thank you. And our next question comes from Martin Malloy, Johnson Rice. Your line is now open.
Martin Malloy: Thank you. Just had two follow-up questions. First one on liquidity and given the Quickthree acquisition, the remaining amount you have to spend with your CapEx guidance, can you talk about how comfortable you are liquidity and funding?
Lee Beckelman: So, currently we're comfortable, again we've expanded our capacity to $60 million with Quickthree. We will - we could be funding up to around $45 million to $50 million which will give us additional$10 million of liquidity into the facility and we are ramping up our capacity in the second quarter and expect that to be at higher levels in the third and four. So assuming our volumes start to pick up as expected that's going to start generating a lot more cash flow from our Oakdale operations to help, support our needs. But we're keeping a close eye on that and is that we need to, we have the ability to look expanding our credit facility, we also have some delay to tap some equipment financing and other sources of capital relatively quickly if we need to. So we feel comfortable we are today on liquidity.
Martin Malloy: Okay. And just thinking about the cost per ton, I appreciates your guidance for the full-year. Should we look forward the decline in the cost per ton to be back half weighted?
Lee Beckelman: Well, yeah, it should, I mean if you think about cost per ton, when you think about the first quarter, we had a lot of extra cost wrapping up our labor to be ready for the expansion without having the volumes there to support that cost. So we're going to be ramping up in the second quarter, our volumes will be increasing but they will be to the full level of what that expanding capacity can support. So as we get to the third and fourth quarter and we get a higher utilizations of the total facility and fully utilize dryers four and five that should help us bring our cost per ton down and that should moderate more in the third and fourth quarter as our volumes move up. And our overall cost don't move up as great as we've already born a lot of that cost in the first quarter getting ready for that expanded capacity.
Martin Malloy: Great. Thank you, very helpful.
Operator: Thank you. And our next question comes from [indiscernible] [0:01:48.5]. Your line is now open.
Unidentified Analyst: Hi. I started following this company about a year or so ago and I look at a company with a very strong balance sheet and with the fundamental of the industry looking very good and since then I've seen the balance sheet deteriorate quite a bit, while there is higher production, profitability has permitted and your stock is under performing your peers. So I guess I want to know with all the investments you are making in kind of going on against those borrowing limits, where is the flection point going to be profitability and what it is going to look like over the next few quarters?
Lee Beckelman: Well, again actually our balance sheet still very strong. We only have $50 million of debt against a $250 million balance sheet. So, the balance sheet is still strong, our volumes have improved, yes, our costs were high in the first quarter but again that was due to specific guidance that we had actually guided to and that we built up that cost, anticipation of our increase volumes the second half of the year. And frankly, we've basically been able to provide to manage that capital spend to get up to our capacity expansion with very little debt to do it. So we've done that primarily from cash we generated from our equity offerings and cash flow. So I think we've done a pretty good job of managing that. Yes, our cost structure is in where it want to be. Yes, we want to improve our profitability and we think as we start ramping up sales volumes through the second half of this year, assuming market conditions stay consistent. We should start showing improvements in our profitability over the course of the year.
Charles Young: Yeah, one other thing I would add is that we are essentially are almost doubling our capacity and we have the people in place to run the two new plants. And as we can see of how this sands being made in the Permian it's just not as easy to gear up and get started for from the ground stop on new plants and you have to bring these people in and train them so. So we've done that and the first quarter reflects that cost, but we have to do that because we had to be ready for the plants 4 and 5 which are already making sand.
Unidentified Analyst: Okay. Thank you.
Charles Young: Thank you.
Operator: Thank you. And that concludes our question-and-answer session for today. I'd like to turn the conference back over to Chuck Young for any closing remarks.
Charles Young: Thank you, again, everyone for joining our earnings call today. We look forward to taking advantage of the strong demand for frac sand in 2018.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.